Operator: Good morning, ladies and gentlemen, and welcome to our Q3 and 9 Months 2024 Conference Call of ProSiebenSat.1 Media SE. This conference is being recorded. Today's call is hosted by Mr. Dirk Voigtlander. Please go ahead, sir.
Dirk Voigtländer: Good morning, ladies and gentlemen, and welcome to ProSiebenSat.1's Q3 2024 Results Conference Call, also from my side. Today's conference call will be hosted by Martin Mildner, CFO of ProSiebenSat1. As always, Martin will first take you through the group's financial and operational performance of the first 9 months. He will conclude his presentation with comments on our outlook for the full year. The presentation will be followed by a Q&A session. With these opening remarks, I now hand over to Martin.
Martin Mildner: Thank you, Dirk. Dear ladies and gentlemen, also from my side, a warm welcome to our Q3 analyst conference. Before we go into detail, let me give you a quick overview of our financial performance. In the first 9 months, group revenues increased by 3% to EUR 2.656 billion. This reflects a solid performance in the Entertainment segment as well as the dynamic growth of our Commerce & Ventures segment. However, in light of the demanding economic environment, entertainment advertising revenues in the DACH region declined by 6% in the third quarter. On the other hand, Commerce & Ventures segment revenue grew by 19% in the first 9 months, therefore, compensating for the 13% revenue decline of the Dating & Video segment. Our adjusted EBITDA increased by 10% to EUR 267 million in the first 9 months, reflecting the group's revenue growth and cost savings, which more than compensated the increase in programming costs. In terms of our outlook for the full year, we confirm our targeted range for revenues and adjusted EBITDA. Due to the weaker development of TV advertising revenues in the third quarter and the TV advertising market that has also declined so far in the fourth quarter, we currently expect adjusted EBITDA to be below the targeted amount of EUR 575 million. I will share more details about the outlook at the end of this presentation. First, however, I would like -- now like to guide you through our financials for the third quarter and the first 9 months of the year. In Q3, the general economic uncertainty on ongoing consumer restraint had a negative impact on the advertising market and therefore, also on the revenue performance of the ProSiebenSat.1 Group. In addition, revenues in the Dating & Video segment decreased notably in a highly competitive environment. Despite the very dynamic and positive development of our commerce activities, the group, therefore, recorded a slight decline in revenues of 1% to EUR 882 million. However, in organic terms, this means, on a portfolio and currency adjusted basis, group revenues remained stable compared to the previous year. For the first 9 months period, group revenues totaled EUR 2.656 billion, an increase of 3% compared to the previous year. The dynamic growth of the Digital & Smart advertising revenues in the DACH region and the significant increase in revenues in the Commerce & Ventures segment were the main drivers of this development. The group's adjusted EBITDA decreased by 6% to EUR 104 million in the third quarter. In addition to lower revenues in the high-margin TV advertising business, this development is also due to the decline in revenues in the Dating & Video segment, which is operating in a challenging and highly competitive environment this year. In the first 9 months of the year, however, adjusted EBITDA increased by 10% to EUR 267 million. This positive earnings development is a result of the group's revenue growth across a large part of its portfolio as well as consistent cost management, in particular, targeted cost measures implemented last year. Adjusted net income for the third quarter amounted to EUR 31 million. For the 9-month period, adjusted net income increased to EUR 63 million, helped by an improved financial result and tax effects. Adjusted operating free cash flow decreased to EUR 25 million in Q3. This reflects, among other things, the weaker earnings development in the third quarter of 2024. In addition, there was a growth-related increase in working capital at Flaconi due to its strong business development. By contrast, the adjusted operating free cash flow improved significantly over the 9-months period, amounting to EUR 129 million. In addition to the increase in earnings, the positive effects here were mainly due to the postponement of investments in programming assets to the fourth quarter of 2024. Now let's turn to Page 7 and take a closer look at our Entertainment business. The Entertainment segment revenues declined by 3% to EUR 579 million in the third quarter. For the first 9-months period, however, the segment recorded a 2% increase in revenues. The main reason for the decline in revenues in the third quarter were the European Football Championship and the Summer Olympics. Both sporting events led to an expected decline in audience share and therefore, in TV advertising revenues as both events were broadcast by public broadcasters and partially also by RTL. In addition, the German economy and, in particular, private consumption, which is relevant to our advertising business, did not develop as positively as economic institutes had predicted it at the beginning of the year. Nevertheless, our Digital & Smart advertising revenues in the DACH region increased by 1%. This was driven by a 15% increase in AVOD revenues from the streaming platform Joyn, which also partially offset the losses of the advertising platform solutions business such as glomex and esome, which are also included in Digital & Smart. The high-margin distribution business continued its steady growth in Q3 with revenues up by 11%. The following factors contributed to this encouraging result: the increase in reach in both free-to-air and pay TV channels; the strong growth in HD subscribers on digital platforms, bringing the total number of HD subscribers to 13.7 million households at the end of September; the continued expansion of our video-on-demand services, Joyn; and new partnerships such as together with Sky Deutschland. Adjusted EBITDA in the Entertainment segment increased by 2% to EUR 87 million in the third quarter. Consistent cost management and increased revenues from the distribution and content businesses compensated for the decline in high-margin advertising revenues in the DACH region. At the same time, the group temporarily reduced its programming costs during the summer months in the context of the major sports events. In the first 9 months, adjusted EBITDA increased by 14% to EUR 203 million despite higher programming expenses driven by the positive revenue development in the first half of the year. Please now turn to Page #8, where we are now coming to our Commerce & Ventures segment. The Commerce & Ventures segment increased its third quarter revenue by 20% year-on-year to EUR 218 million. For the 9-month period, this represents a 19% increase. Almost the entire portfolio contributed to this continued positive performance. Our advertising business, i.e., our media for equity and media for revenue business with SevenVentures and SevenGrowth achieved a strong revenue increase of 19% in Q3. The Digital Platform & Commerce businesses generated revenues of EUR 189 million, up 20% year-on-year. The main revenue driver was the Beauty & Lifestyle vertical with Flaconi. Compared to last year, the vertical grew by 33% in the third quarter despite the deconsolidation of Stylight at the beginning of February. In the previous year, Stylight still contributed EUR 3 million to third quarter revenues. The consumer advice vertical with Verivox as the main revenue driver, achieved a revenue increase of 7%. The segment adjusted EBITDA benefited from the growth in revenues in the third quarter and showed a strong increase of 55%. On a 9-month basis, adjusted EBITDA tripled, increasing by EUR 28 million to EUR 42 million. In addition to the revenue development, the disposal of Regiondo in June 2023 had a positive impact. Let's now have a look at the performance of Dating & Video on Page 9 of the presentation. The Dating & Video segment continued to face very strong competition. Revenues declined by 21% in the third quarter and by 13% in the first 9 months of the year. The dating business was hit hard by the decline in revenues at eharmony due to the increased competition in the U.S. At the end of September, we took a number of countermeasures to counteract this development by retraining comprehensive AI models within our customer journey. This has helped us to optimize our customer intake across channels and to rescale marketing activities across channels. The video business also suffered from the highly competitive market environment and recorded a revenue decline of 20% in the third quarter. The negative revenue trend also led to a 39% decline in adjusted EBITDA in Q3 2024. In addition, we made further investments in the video business to attract streamers from competing platforms to join our live streaming ecosystem. While this weighed on the profitability, these incentives have improved the competitive position of our applications in a dynamic market environment. Let me continue with comments on the financial leverage and net debt development on Page 10. At the end of the third quarter, the group's net financial debt amounted to EUR 1.609 billion, which represented an improvement of EUR 166 million compared to the end of Q3 of last year. This is mainly due to the positive development of adjusted EBITDA. Compared to the end of last year, the reported increase in net financial debt is mainly due to the group's cash flow development and its usual seasonality. As you know, the fourth quarter is usually the strongest quarter in terms of free cash flow development. Due to the growth in adjusted EBITDA, the financial leverage ratio improved to 2.7x at the end of the third quarter and is, therefore, within the targeted range of 2.5x to 3x for the financial year 2024. On the right side of the chart on Page 10, you can see also the debt maturity profile of ProSiebenSat.1. As it shows, we use various debt financing instruments for the purpose of the group financing. This group financing is on a continuous basis under our review with respect to the optimization of volumes and maturities. So let us now continue with our operational update. Overall, the macroeconomic environment in Germany has been stagnating in recent years. While we still saw positive GDP growth in 2022, the past 2 years have been challenging as the chart on the left-hand side shows. In 2024, the German economy also developed weaker than economic research institutes expected at the beginning of this year. The latest estimates suggest a slight GDP decline in 2024. Several factors played a role here: rising interest rates from mid-'22 to early 2024; ongoing economic and geopolitical uncertainties; and big structural shifts in areas like decarbonization, digital transformation and increasing competition from Chinese players. These changes have put additional pressure on industrial companies in our home market. On top of that, private consumption, a key driver of our TV advertising revenues has not shown the growth we had anticipated at the beginning of the year. Despite rising real incomes and falling inflation, consumer spending continues to remain limited as the tendency to save remains high. Looking at the development of the TV advertising market on the right-hand side of the chart, it is clear that the German TV advertising market was much more affected by macroeconomic challenges than other European countries. Compared to the Western European average, which includes the larger TV advertising markets of the U.K., France, Italy and Spain and compared to the pre-pandemic level in 2019, the German TV net advertising market shows a gap by around 14 percentage points. This takes into account that according to our own market model, the German linear TV net advertising market will decline by around 3% year-on-year in 2024. Comparing the German TV advertising market with the average of the Eastern European TV advertising market, the gap is even wider. However, we expect the digital video advertising market to grow by 21% year-on-year. While the growing digital video advertising business will partially offset the expected decline in TV advertising revenues, we now expect a low single-digit percentage decline in entertainment advertising revenues in the DACH region due to a weaker second half of the year, especially in the important upcoming or more precise ongoing fourth quarter. Let us now take a look at our audience share development. As expected, our audience shares improved again towards the end of the third quarter and even increased further in October. Therefore, it is now recovering from the decline during the months of the European Football Championship and the Summer Olympic Games. Our 2 main channels, ProSieben and SAT.1, have played a key role here, especially in recent weeks. In fact, our programming investments in ProSieben, including new lineups, additions like TV Total Spezial, Chris du das hin? and Duell um die Geld, will continue to lead to an increase in audience shares. Meanwhile, SAT.1 has reinforced its daytime and access time performance through a mix of new and established formats, creating an appealing primetime lineup. Overall, we are very satisfied with this development. To maintain and improve our ratings performance, we continue to invest in attractive content. In the fourth quarter, we have a strong lineup for both linear TV and Joyn. This includes popular shows like The Taste on SAT.1, Joko & Klaas gegen ProSieben on ProSieben and Joyn originals like KEKs. Our goal is to stabilize linear market shares while driving Joyn's growth with hybrid content and exclusive original programs. Besides, we also extended our first-look deal with Talpa Concepts as well as our collaboration with Heidi Klum on Germany's Next Topmodel for several more years. Heidi Klum's recent win of the Blauer Panther TV & Streaming Awards for the 19th season of Germany's Next Topmodel underscores the strength of the show and the importance of continually investing in content. These efforts align with our programming strategy to enhance and integrate local and live content across our platforms. A key highlight of enhancing our content in recent months was also the launch of our new newstime studio at our new campus in Unterfohring. The studio covers 220 square meters and is equipped with state-of-the-art technology, including a 70-square meter curved LED wall, 3 additional movable LED walls and more. This setup offers maximum flexibility and a unique viewing experience. It is one of the most modern studios in Europe. Since October, all newstime programs from SAT.1, ProSieben, Kabel Eins and Joyn have been produced and broadcast from this state-of-the-art studio. The studio complex is also the first part of ProSiebenSat.1's new company headquarter in Unterfohring, which has been put into operation. This move marked a major milestone for us. It reinforces our commitment to delivering timely, high-quality and reliable news to a broad audience. The second part of our new campus is still under construction and should be completed by the end of next year. Once the new campus is fully completed, we also anticipate to improve our free cash flow from 2026 onwards. Now let's talk about the center of our digital activities, our streaming platform, Joyn. Joyn continued to grow in the third quarter. We once again experienced significant growth in all our KPIs. Monthly video users increased by 62% compared to the previous year, reaching now around 6.8 million users. Video view time in minutes grew by 44% to 9 billion minutes compared to the previous year. Our advertising-based video-on-demand revenues increased by 15% in the third quarter compared to last year. We are very satisfied with the strong growth of Joyn. The development confirms our strategic focus on Joyn as an ad-supported streaming model and the expansion of our digital entertainment portfolio. Looking at our Commerce & Ventures segment, we see that both our comparison portal Verivox and our online beauty provider, Flaconi, continued to grow. In fact, they experienced a CAGR growth of 7% and 20%, respectively, in just under 5 years. Verivox continued to benefit from the recovery in the energy market. In the third quarter, revenues increased by 9% compared to the previous year. On the other hand, Flaconi grew by 38% in the third quarter compared to the previous year. It thereby even outperformed the strong growth already experienced in the first 2 quarters of this year. As part of our strategy focus on the entertainment business, we announced the evaluation of a potential disposal of our noncore assets in April. These also included Verivox and Flaconi. We can say at this point that we are in a good and constructive discussion with potential bidders. However, we hope you will understand that we are not yet able to provide more detailed information at this point about the ongoing process and the future results. Let me conclude the presentation with our financial outlook for 2024. Overall, we have completed the first 9 months in line with our targets for the full year, even though the TV advertising market declined in the third quarter. Accordingly, we continue to target group revenues of around EUR 3.95 billion in 2024 with a variance of plus/minus EUR 150 million. This takes into account a decline in entertainment advertising revenues in the German-speaking region in a low single-digit percentage range. On the other hand, we expect the strong revenue momentum in the Commerce & Ventures segment to continue and to more than offset an expected revenue decline in the Dating & Video business. We are also confirming the target range for adjusted EBITDA forecast at the beginning of the year with a variance of plus or minus EUR 50 million based on a target value of EUR 575 million. However, due to the decline in high-margin TV advertising revenues in the third quarter and the TV ad market decline also in the fourth quarter to date, the group currently expect an adjusted EBITDA below the target of EUR 575 million. The outlook takes into account the expenses associated with the programming offensive, which despite the offsetting saving effects of efficiency measures, will have a negative impact on adjusted EBITDA, but will sustainably strengthen growth in the entertainment business. With regard to the development of the adjusted operating free cash flow in the current financial year, we expect a development comparable to that of the adjusted EBITDA and a value roughly in line with the previous year. This being said, we would like to ensure you that we will continue to work hard on the execution of our strategy and to focus on a further optimization of the group's cost structure. Thank you for your attention. I'm now looking forward to your questions.
Operator: [Operator Instructions] We will move first to Julien Roch with Barclays.
Julien Roch: The first one is, can we have some more colors on the ad trends in Q4? I understand you gave us a low single-digit for the full year, but you already have October, November and then maybe a range for December. That's my first question. The second question is on free cash flow. You mentioned in your remark an improvement from '26 onwards, unless I misunderstood. So why not '25 if the campus is finished? And what was the cash cost of the campus this year and maybe last year? That's the second question. And then the last question is, on Page 16, you gave us the video view time of Joyn. Could we get the total viewing across all the ProSieben channel in DACH in any format, i.e., linear and on-demand?
Martin Mildner: I'm starting with your first question, probably for you, the most important question regarding our view on the ad trends in the Q4. Let me say it's really difficult to judge. You know that we already said that during the first 2 quarters, we had a really good development. And then we saw a decline in the Q3. And during October and November, I would think that it is fair to say that the development is nearly the same as in Q3. But nevertheless -- and you know that December is for us really, really important, not from -- only from the bookings from the agencies, but also from the add-on bookings, which are really dependent on every year and they could be really high. And therefore, this is the reason why it's probably for us too early to judge how the December will develop. And therefore, if we have much more clarity on this, since this is probably sometimes only in December due to the ad bookings, we have a better view on it. But so far, we clearly see the same trend in the first weeks in Q4 as it was in Q3. With respect to your question of the free cash flow and why it's only starting in 2026, I think this is mainly related to our investments in our new building, the new campus, and this is still ongoing in 2025. And it's obviously in the mid-single-digit -- sorry, mid-double-digit number. And therefore, the cash flow development will turn in the different direction from 2026 onwards. With respect to the Joyn figures, I think I would hand over to Dirk, who has much more clarity on the numbers there in this after the comment as well.
Dirk Voigtländer : As you know, we are currently not reporting the total video view time for the group as a whole. However, we are disclosing this already for Joyn, and you have seen that we have seen a significant increase in terms of the consumption of Joyn. The digital platforms in total have contributed about mid-single-digit-percent contribution to the total video view time. So it's still a long way to go to have a bigger impact on the total consumption. However, given the significant double-digit-percent increases we have seen on Joyn, we think we are here definitely on the right path. By the way, just to let you know, total TV consumption has dropped 3% across all households year-to-date. Due to the sports events in Q3, we have even seen an increase by 3% in Q3 2024. However, in the medium to long term, I think it's fair to say that the TV consumption will continue to decline. But as Martin has already outlined, we are working hard here on a continuing increase of the Joyn video consumption.
Operator: [Operator Instructions] We'll move next to Conor O'Shea with Kepler Cheuvreux.
Conor O’Shea: Three questions from my side as well. Firstly, just in terms of the advertising, in terms of your comments about December add-ons being potentially very high. I mean, is there any reason for you believing that, that would be the case this year? I think usually, you say between 0% and 10%, an average of 5% in add-ons. Is there any reason to believe that, that won't be -- that would be above average this year as opposed to average or below average for December? That's the first question. Second question, in terms of other advertising lines. Rest of world advertising revenues declined in Q3. Can you just give a little bit of color on that and what you expect for Q4? And also maybe in the digital advertising within the DACH, which slowed significantly in Q3, again, is that a sports event impact on rival channels? And then the final question, just in terms of the programming cost shift into Q4 tactically to avoid the strong lineup on rival channels in Q3. Can you just remind us how much that is that shifts from Q3 to Q4?
Martin Mildner: Conor, thanks for your questions. Regarding your first question on the advertising and our view for the add-on bookings, I think -- and we show this also in our presentation on Slide 12. The uncertainty in the advertising market in Germany is as high as we probably never see this before, at least not for a long, long time. And this is also reflected in all the negative news around, for example, Volkswagen, but also with respect to our government and the change in the government. And what we are seeing is probably some kind of slight stabilization in the mood. And therefore, it is really hard to predict whether our assumptions for the add-on bookings are the same as during the past years. It could be that they are lower, but it could be also if you have some kind of light at the end of the tunnel, and this is sometimes happening really fast, that it could be even higher than during the past years. And therefore, this is the reason why we are currently saying it is much too early, and it could also happen during December only that the momentum will be there. And also the Christmas business is not only before Christmas, but also after Christmas. And therefore, it is really too early to judge for us and in fact, that the December is quite, quite important. And maybe just one additional comment on your second question, which is also related to it. Even if we see some decline in the TV advertising market, we see from, I would say, September onwards or October and now also in November, really a strong growth, not only in viewing time on Joyn, but also reflecting this viewing time in the monetization of our formats on Joyn. And there, we see a much stronger growth than in the months before. And this is also compensating a decline in the TV advertising market so that we are still believing that even under these uncertainties, that probably our revenues in the entire Entertainment segment will be more or less flat compared to the last year. And if you then look on the EBITDA, it is clear that we have the higher program costs. Some of them are compensated with the savings, but the higher program costs are clearly impacting the EBITDA. And therefore, even with a flat revenue, we have some lower EBITDA. With respect to the program investment shift, I think I will hand over to Dirk.
Dirk Voigtländer: Yes. A quick comment here on the program CapEx. You might have seen that we have seen even a decline in terms of programming CapEx in the first 9 months of 2024. This, however, is, as we mentioned, partly due to the seasonal shift. We don't expect programming CapEx to be below prior year's level on a full year basis, which means there will be a mid- to high double-digit million euro amount increase in programming CapEx in Q4. However, please keep in mind that when you look at the last 12-month development in terms of the free cash flow, given this shift of programming, we could even achieve a free cash flow north of EUR 200 million despite the CapEx for the campus and despite the restructuring expenses we had in the first half. So on a full year basis, however, you can expect some normalization here in terms of free cash flow development because of this increase in programming CapEx in Q4.
Conor O’Shea: Okay. Very clear. And on rest of world advertising, the decline in the third quarter, can you give us a little bit of color on that, please?
Dirk Voigtländer: I think there, we rather expect a flat to slightly positive development in Q4. But there is no meaningful deviation from the trends we have seen in the first 9 months.
Operator: We'll go next to Nizla Naizer with Deutsche Bank.
Nizla Naizer: Great. I hope you can hear me. I have 2 questions. The first is on, as you mentioned, sort of [German] consumer or the macro environment impacts consumer spending and that's taking an effect on what you're seeing in terms of ad growth. We're hearing other players in the market like in other formats like out-of-home, for example, still talking about growth in Q4. So maybe could you give us some color as to whether you think TV and [other] format is suffering a lot more? Or is sort of the underlying advertising market as a whole shrinking as a result of the macro environment? Some color there would be great. Secondly, the strong growth in Flaconi, could you remind us again, has this been profitable growth? Is Flaconi still being run at breakeven levels with a lot of promotional activity? And would this continue to be the case in Q4? Some color there on the profitability profile of Flaconi and maybe Verivox would be great.
Martin Mildner: Nizla, I will start with your second question and come to our beautiful side, at the moment, in our business. So first of all, we think from an entire Commerce & Ventures segment, we are probably able this year to reach, the first time in the history of Commerce & Ventures, a turnover of more than EUR 1 billion or roughly EUR 1 billion. So this is a great success of the segment. And if you're looking on the EBITDA side, it is clear that it is getting more and more profitable, especially on the Flaconi side. Flaconi is probably hitting the EUR 500 million turnover and increase their expectations on the EBITDA and it is clearly that -- and if you look on the website, it's clear that this is not driven by discounts or whatever. It's a good, good management, which we now hired and have for 2 years on board with Bastian Siebers, and they are really working not only on the revenue growth, but also on the EBITDA development. And there, we see even a better margin than last year. So it is really not bought revenues. It's clearly they're working on both on the revenue side, but also on the margin side. And the same with Verivox, they are also developing quite, quite good. And please remember that they developed already in the last year with a high, high revenue growth. And even this year, they can continue with the growth story. On the first question, in fact, that this is more reflected on the market, I would hand over again to Dirk.
Dirk Voigtländer: Yes. I think when you look at the composition of the customer base of -- I think you referred to Stroer's comments this week, they have a much broader customer base with a lot of smaller customers in Germany. I think it's in the 5-digit number compared to our customer base, which consists of primarily larger, partly international and also national advertising customers. So therefore, they have, in general, a more diversified customer base, which makes a difference. But the other thing here is that TV in general, is probably a bit more cyclical than the -- than outdoor advertising. There is a lot more flexibility to react to changes in the underlying development of our customers' business. We also have larger budgets of these individual customers and especially in the fourth quarter, where the add-on bookings play a material role in terms of advertising spending, our customers have a lot of flexibility here to spend. This being said, if our customers face also a tougher development in their business, I think it's very easy for them to react to such developments, which also leads to somewhat higher volatility in our business. When you look at the past, for example, the past 4 to 5 years, we have seen that our TV advertising revenues or the German-speaking ad revenues have developed largely in line with underlying macro indicators. And I think also the slide in our presentation shows that the softer TV ad market development highly correlates with the German GDP development. So I think those are probably the main reasons here why we are seeing a softer development compared to outdoor.
Operator: [Operator Instructions] With no other questions holding, I will turn the conference back for any additional or closing remarks.
Dirk Voigtländer: Okay. Ladies and gentlemen, that was our last question for today's call. My colleagues in the Investor Relations team and myself will, as always, be available for any follow-up questions you might have. Thanks, everyone, for your participation, and have a nice day. Bye-bye.
Operator: Thank you. Again, ladies and gentlemen, that will conclude today's call. We thank you for your participation. You may disconnect at this time.